Operator: Welcome to the Avnet Fourth Quarter Fiscal Year 2022 Earnings Call. I would now like to turn the floor over to Joe Burke, Vice President, Treasury and Investor Relations for Avnet.
Joe Burke: Thank you, Paul. Earlier this afternoon, Avnet released financial results for the fourth quarter and fiscal year 2022. The release is available on the Investor Relations section of the company's website. A copy of the slide presentation that will accompany today's remarks can be found via the link in the earnings release, as well as on the IR section of Avnet's website. Some of the information contained in the news release and on this conference call contain forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Such forward-looking statements are not the guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in Avnet's most recent Form 10-Q and 10-K and subsequent filings with the SEC. These forward-looking statements speak only as of the date of this presentation, and the company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this presentation. Today's call will be led by Phil Gallagher, Avnet's CEO; and Tom Liguori, Avnet's CFO; and Ken Jacobson, Avnet's Corporate Controller and incoming CFO this September. With that, let me turn the call over to Phil Gallagher. Phil?
Phil Gallagher: Thank you, Joe, and thank you, everyone for joining our fourth quarter and fiscal year 2022 earnings conference call. What a year it has been for Avnet. On the heels of our centennial anniversary, we've built on the prior year's momentum to deliver robust financial results, including a record EPS year, nearly reaching $7 for the fiscal year. Our sales for the fiscal year were up nearly 25% year-over-year. This was supported by a strong year for Electronic Components and notably, a record revenue year for Farnell. We had a great performance from both operating groups, and we are really excited about the revenue synergies we are seeing between the two as well. As announced earlier in the year, we also achieved and surpassed our near-term operating margin targets and we're pleased to cap off the fiscal year with operating income margins of 4.5%, this recently ended quarter and 3.9% for the fiscal year. Beyond the numbers, we were excited to host our Investor Day in June, where we had the opportunity to see many of our stakeholders in person in New York. We also announced a couple of key executive successions this fiscal year, including the appointment of Dayna Badhorn, a 24-year veteran of Avnet as the new Americas leader for Electronic Components; and more recently, the appointment of Ken Jacobson, who has been a key contributor in our finance organization for nine years to CFO, effective in September. These moves are part of our succession planning process, which ensures continuity in executing our strategic plan. We've continued to make investments in inventory, including SKU additions at Farnell and in field application engineers and online design tools that have delivered meaningful value and growth. Additionally, we continue to make investments in our employees and are kicking off fiscal 2023 with a compensation increase across our employee base and merit-based rewards to acknowledge strong performers and remain competitive in a challenging labor market. As I've mentioned throughout the year, we've been immensely proud of our team's commitment to executing on our strategy amid an increasingly complex macro environment. Their contributions have enabled us to grow share and secure exciting new business opportunities, enhance the value proposition of our supply chain engagements, and high service Farnell offerings, provide uninterrupted support to our customers and suppliers looking to decrease risk in their supply chains, and lastly, to surpass our near-term operating margin targets sooner than anticipated. Our teams are unmatched in terms of experience, expertise, and diligence, and their efforts are instrumental to Avnet's success and role at the center of the global technology supply chain. We have a strong foundation to build upon in the coming fiscal year and are well positioned to deliver value and adapt even if market conditions change in the future. From a demand perspective, this past quarter, we saw continued strength in the industrial, automotive, transportation, and aerospace and defense segments. Additionally, we expect some applications like EV charging and other alternative energy applications to pick up based on current energy supply concerns. Lingering COVID-19 impacts, some inflation and impacts on the conflict in Ukraine continue to have some ripple effects on supply chains. While supply -- some of the parts has modestly improved, we expect supply chain challenges to persist throughout the remainder of this calendar year. It's in these types of environments that our role as a distributor is particularly critical. As we've proven over the years, the value of Avnet in a complex operating environment is our ability to serve as a control tower for our customers, helping them proactively manage their supply chains. We expect customers and suppliers to leverage these solutions more fully in the coming years. Now, turning to our Electronic Components and Farnell highlights. Electronic Components had a strong year, reaching nearly $23 billion in sales. We were pleased to maintain robust sales this quarter following a very strong third quarter. These results were primarily driven by another record quarter of demand creation engagements, expanded sales in Asia and solid sales in the Americas and EMEA regions. Notably, this was our fifth consecutive quarter of growth in Asia, which enabled us to reach a near-term milestone of $10 billion in sales for the region for the fiscal year. And we saw a year-over-year growth this quarter of over 34% in both the Americas and EMEA on a constant currency basis. Our book-to-bill ratios at the end of the quarter remained above parity. Lead times are mixed; some remain extended, particularly for controllers, while some lead times of other products have been moderating. We continue to effectively manage our backlog. We brought our inventory levels up this quarter to support the ramp-up of sales in Asia into the seasonally strong first fiscal quarter. As a distributor, we pride ourselves on our ability to meet and support strong customer demand and I am proud of the success we have had in managing key relationships with customers and supplier partners to get the right parts in the right place at the right time. From a demand creation standpoint, we again had a solid quarter of design and engineering activity across all regions. High levels of design registrations and wins in prior quarters resulted in yet another quarter of record demand creation sales and gross profit. Demand creation revenue as a percentage of total Electronic Components increased to 31.2% for the year. Now, moving on to Farnell. As I mentioned earlier, it was a record revenue year for Farnell, with full year revenues increasing 20.2% year-over-year. With demand indicators remaining fairly consistent, we continue to make investments in Farnell, adding over 18,000 new inventory SKUs in the quarter. Our investment in Farnell's e-commerce platform and improving the user experience continues to yield meaningful results. Nearly 56% of Farnell's total sales and 72% of total orders transacted were placed through Farnell's e-commerce platform this quarter. We expect to continue to see increased traffic and new customer acquisitions in quarters to come. As we continue to improve our digital capabilities, we expect Farnell's value proposition to increase and enhance the synergistic collaboration between Farnell and Electronic Components. This collaboration allows us to serve our customers from new product introduction to mass production, and is a key differentiator for Avnet. As we head into fiscal year 2023, we see opportunity for Avnet to leverage and build upon the value of its demand creation capabilities, supply chain services, embedded products and Farnell offerings. We're a different and much more resilient company today due to the durable changes we've made to our business. There's never been a greater need for global distributors, and we remain confident in our ability to meet those opportunities. Before I turn it over to Tom to dig deeper into the financials, I'd like to take a moment to thank Tom for his immense contributions to Avnet. Over the past four and a half years, Tom has been a big part of our transition into a stronger, more profitable, and resilient company. Our balance sheet hasn't been this strong in decades. Tom and his team have built a high-quality finance organization and, importantly, he has served as an invaluable partner to me since my transition into the CEO role. I'm going to miss working alongside Tom and having him join me on these calls, but I'm absolutely confident we are in excellent hands with our incoming CFO, Ken Jacobson. Ken is a seasoned Avnet executive, who many of you have already met. He has served as our Corporate Controller and has been a critical leader in our financial organization for the past nine years. So, with that, let me pass it over to Tom.
Tom Liguori: Thank you, Phil. It's been a pleasure working alongside you and the entire Avnet team. I want to personally thank the finance team at Avnet for their support and friendship during my time here. They are a talented group of professionals and a joy to work with. And I echo your point, Phil, Avnet will be in very capable hands with Ken as CFO. I look forward to seeing Avnet's continued success under your leadership. We are very pleased with both our fourth quarter results and the record earnings year we've just completed. I will share some of the highlights from the quarter and full year before turning it over to Ken who will discuss first quarter 2023 guidance. In the fourth quarter, our revenues were $6.4 billion, up 21.9% year-over-year and at the top end of our guidance range. Adjusted EPS exceeded guidance, coming in at $2.07 compared with $1.12 in the prior year quarter. For the fiscal year, we achieved sales of $24.3 billion, up 24.5% year-over-year; a record GAAP EPS of $6.94 and a record adjusted EPS of $6.93. Job well done to the entire Avnet team. Throughout the year, our teams continued to improve execution and efficiency, while also managing expenses. We achieved and surpassed our near-term operating margin targets, resulting in fiscal year '22 operating margins of 3.9% for total Avnet. This was supported by operating margins of 3.9% for Electronic Components and 13.4% for Farnell. Turning to the income statement. Our revenue comparisons are affected by changes in foreign currency rates. Our reported revenues for the fourth quarter are $6.4 billion. Changes in foreign currencies had a negative impact on our sales of $150 million sequentially and $326 million year-over-year. Gross margin of 12.2% was down just slightly on a sequential basis. For the total year, gross margin of 12.2% was up by 73 basis points from the prior year. Both evidence that we are effectively managing pricing in the supply constrained market. In the fourth quarter, we continued to process many price increases. Adjusted operating expenses of $492 million for the quarter were down 3.4% sequentially. Adjusted operating expenses as a percentage of gross profit dollars was 63% in the fourth quarter. This is a substantial improvement from the 76% in the prior year fourth quarter, illustrating the disciplined expense management of our global teams. On the non-operating front, interest expense in the quarter was $30 million, up $4 million sequentially due to higher levels of debt within the quarter, as well as a slight increase in short-term borrowing rates. We booked a 20.5% adjusted tax rate in the fourth quarter and ended the total year with a 21.9% adjusted tax rate. Farnell achieved revenues of $442 million in the fourth quarter and operating margins of 14.2%. Revenues declined sequentially due to product shortages of semiconductors, single-board computing and test equipment. As a result, Farnell ended the fourth quarter with a record customer order backlog. On a total year basis, Farnell achieved record revenues of $1.8 billion. Farnell's fourth quarter operating margin of 14.2% benefited favorably from higher year-over-year pricing, which contributed 180 basis points of margin. Without the pricing benefit, Farnell operating margins would have been 12.4%, consistent with the 10% to 15% range through the cycle that we discussed during Investor Day. We are very pleased with Farnell's results and expect to build upon this momentum, as we continue to make investments in SKUs, analytical tools, and the e-commerce platform. Farnell is a large part of our plan to target upward of 50% of gross profit dollars from higher margin business. Electronic Components achieved revenues of $5.9 billion in the fourth quarter, up 23.9% year-over-year and down 1.5% sequentially. The sequential decline was mainly EMEA, due to currency rates. However, Avnet EMEA fourth quarter revenues were 34% higher in constant currency than the year ago quarter. Operating margins were 4.3%, a 122 basis point improvement from last year. Our Electronic Components group's performance this quarter was driven by another record quarter of demand creation engagements, as well as very strong sales in Asia and Americas. Turning to cash, liquidity, and the balance sheet. Our liquidity position remains strong. We ended the quarter with cash and equivalents of $153.7 million and $1.4 billion of available lines of credit. We are seeing an improvement in our ability to bring in inventory, which increased this past quarter. This was primarily to support strong sales and bookings in Asia, and was accompanied by a corresponding increase in accounts payable. Sales in Asia have grown sequentially for five quarters and we require the right inventory to support current demand. Our total Avnet inventory is 64 days on hand, which is still slightly below our normal 65. Total net working capital days at year end were 69, down from 74 in the prior year. We remain committed to disciplined working capital management and to maintaining our strengthened balance sheet. We are pleased with our debt position, with debt coming in at $1.6 billion and net debt at $1.5 billion. Our gross debt leverage was 1.4 and net debt leverage was 1.3. Moving on to capital allocation. In the fourth quarter, we returned $25 million to shareholders in dividends, representing an 18% increase in the per share dividend payment year-over-year. As we said at Investor Day, share repurchases remain a meaningful part of our capital allocation strategy. This quarter, we repurchased $102 million of shares, up from $45 million last quarter. Moving forward, we remain committed to increasing shareholder value by delivering a reliable, increasing dividend and continued share repurchases. With that, I'll now turn it over to Ken to discuss outlook for the first quarter of 2023. Ken?
Ken Jacobson: Thank you, Tom. I will provide some color about our expectations for the next quarter. But before I begin, I'd like to thank Tom for his leadership over the past several years and, on a personal note, for his mentorship and coaching that has allowed me to succeed him as CFO. I look forward to getting you know some of you on this call in the weeks to come. Turning to guidance. For our fiscal Q1, we are guiding revenue in the range of $6.2 billion to $6.5 billion and adjusted diluted EPS in the range of $1.85 to $1.95. Our first quarter guidance today is based on current market conditions, including $100 million negative impact on sales guidance at the midpoint from the recent strengthening of the U.S. dollar as compared to the fourth quarter. This guidance implies a sequential growth rate -- range of down 1% to up 4% in constant currency and assumes a typical seasonal shift in sales to Asia from the western regions. This guidance assumes an effective tax rate of between 21% and 25% and 96 million outstanding shares on a diluted basis. We have spent the last couple of years making Avnet a stronger company, one that is not only able to operate effectively in today's complex environment, but also one that can provide even greater value for our customers by proactively managing their supply chain. With the synergies we're seeing between Electronic Components and Farnell, our investments to support future organic growth, and steady progress toward our operating margin goals, we are confident in our ability to continue delivering value to our customers, suppliers, and shareholders in fiscal year 2023 and beyond. With that, I will turn it back over to Paul to open it up for Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Nik Todorov with Longbow Research. Please proceed with your question.
Nik Todorov: Yeah. Thank you and good afternoon, everyone and congrats on great results. And Tom, thank you for -- it was pleasure working with you and good luck on your new endeavors.
Tom Liguori: Thank you, Nik.
Nik Todorov: First question, I guess, is on inventory. I guess, you guys spoke about preparing for a seasonal volume in Asia. But I guess, at the same time, you mentioned still some shortages impacting the Farnell business. Maybe you can talk about the composition of inventory, where are you guys being able to build that inventory in what sections of the component business, and are you starting to see some loosening of maybe the components that were kind of mostly tied kind of the golden screw, call it, that's kind of the first question I have?
Phil Gallagher: Yeah, Nik. This is Phil. Let me take a first crack at that. First of all, definitely very confident and comfortable with the inventory levels and the mix as well, by the way, and to meet the sales for the coming quarter, as we noted in the script. And overall days are still 64, which is below typical. So, we're really comfortable. The quality of the inventory is good -- very good, as matter of fact. Some of the -- it's a mixed bag on the commodities and what's coming in and what's going out. So, if you look at overall lead times still in analog, discretes, MCUs, et cetera. We’re 20 -- 24 weeks, 30 weeks plus, respectively, moderating for sure, but still above levels pre-COVID, if you will, all right? So, we are seeing some moderation. In some of the passive area, we're definitely starting to see some -- based on mostly due to the consumer side of the equation, starting to see some areas in the MLCC, for example, coming in on lead time. But it's really complex. It's really by product, by commodity. But overall, a lot of the inventory that did come in near the end of the quarter, and we'll be looking to turn that this quarter.
Nik Todorov: Okay. Great. And the second question just on around demand, I was wondering if you can provide us a little bit more color. There is obviously well known weaknesses in the consumer electronics markets. But recently, there has been some signs of, at least in some areas of the semiconductor market, that areas like data center, automotive, and industrials are also starting to see signs of softening. Just what are you seeing from a booking standpoint, particularly in areas where lead times you mentioned are starting to kind of come down?
Phil Gallagher: Yeah. So, why don't we start with the latter part of the question. Overall, book-to-bills are, like we said, moderating, okay. They're not where they were six months or a year ago, but still above one, okay, which is -- which I see as a good thing, that book-to-bill coming down a bit began (ph) with you. So, maybe that closer to a reality. As far as the -- yeah, we already mentioned the consumer. We don't play a whole lot there. It doesn't mean some capacity can't move from consumer products into other applications. Right now, as we sit here today, the aerospace, defense, still very strong, the industrial space that we see is our backlog and was booked on us and we are taking in, as you know, quite a few MRPs in our supply chain engagements, still strong. And transportation, I always got automotive/transportation because the applications are so broad outside of the automotive. It's e-bikes to dump trucks, right? I mean, they're all using more and more electronic components. So, still seeing that and as we sit here today, still pretty steady, and the backlog, okay.
Nik Todorov: Got it. Thanks, guys. Good luck, Tom.
Phil Gallagher: Thanks, Nik.
Tom Liguori: Thanks, Nik.
Operator: Thank you. Our next question is from Toshiya Hari with Goldman Sachs. Please proceed with your question.
Toshiya Hari: Hi. Good afternoon. Thank you for taking the question and a big thank you to Tom as well for all the help over the years. I had two questions as well. First, on the guide, again, I just wanted to follow up. So, inventory grew I think 15% sequentially and you talked about supporting growth in Asia. I got the FX headwinds in the quarter. But even the FX headwinds, you're guiding September quarter revenue up 1.5% or 2% at the midpoint. So, I guess, what's the disconnect there? Should we expect further growth into December? Any color around that would be helpful. Thanks.
Ken Jacobson: Yeah. This is Ken. I think part of that increase is the timing of sales came in later in the quarter. But if you think about EMEA and Asia in particular, right, July is a pretty big month. If you kind of look at the prior year, I think our inventory grew like 17%, a comparable level and then kind of moderated. So, we feel the sales demand is there and there is a cyclicality within underlying quarter that we see that drives some of the higher levels. At the end, and again, our net inventory days is really flattish when you take the inventory days less the AP days. So, you can see a lot of that came in and it supports the near-term sales.
Phil Gallagher: Yeah, Toshiya, and Asia, typically, in the September, December quarter does accelerate from a growth standpoint. And we're still seeing -- and we're seeing that. As we sit here today, we're still seeing that.
Toshiya Hari: Got it. Very helpful. Thank you. And then, as my follow-up, just wanted to get some context around what you're seeing from a pricing standpoint versus what you're seeing on the volume side of the equation. For June, for example, your EC business grew I think 23%, 24% year-over-year, ex some of the foreign exchange dynamics, what was kind of the mix between volume growth versus pricing growth and what's the outlook for the back half of the calendar year? Thanks so much.
Phil Gallagher: Yeah. No. Thanks. I'll take first crack at that. This is Phil. So, the bulk of the growth was still volume growth, okay? There is no question about it and we're estimating from a ASP inflation, if you will, somewhere between 7% and 8% of that was pricing inflation and we track that by commodity and by ASP. So, you say, maybe take 7%, 8% on 24%, so 25%, 30% of the growth might have been due to ASP inflation. And we're still -- by the way, we still saw many price increases from the suppliers this past quarter and we're seeing more coming, which is interesting.
Toshiya Hari: Thank you so much.
Phil Gallagher: You got it.
Operator: Thank you. Our next question is from Jim Suva with Citigroup. Please proceed with your question.
Jim Suva: Thank you, Tom. I'm not sure you're allowed to leave, sorry about that, but if you coach football you might be right back just like Phil, but anyway, I'm going to miss you. Thank you.
Tom Liguori: You can help me. Thank you, too.
Jim Suva: I have one question. And am I just because I'm not the smartest analyst out there, but it was asked a little bit on the prior question. Your sales outlook again is kind of flattish quarter-over-quarter and if you include FX up a smidge, but your inventory, and I'm not saying inventory is bad, but your inventory is up materially both year-over-year and quarter-over-quarter above sales. So I guess I don't understand the disconnect around why the inventory build isn't translating into a similar or even closer sales growth rates unless maybe people will say you're holding the wrong inventory or it's in the wrong place and then it's going to hurt you. So if you can just help us bridge the gap between the inventory build in the sales outlook again, I know it was asked a little bit earlier but help some of us just really conceptual and graphs the bridge there. Thank you.
Phil Gallagher: Yeah, I'll go -- I'll take that one. Jim, this is Phil. Yeah. As Ken said earlier, it's similar scenario last year all right. So as we build in bringing the inventory, some of it was for as we said the Asia growth other four strategic customer opportunities that we've won in past quarter and had to bring some inventory in and then it was really the timing as you see the AP offset it. So as we look at the next we're guiding three months. We look at the next three to six months, we feel the inventories positioned correctly for the growth that we're seeing in the marketplace through December. The quality of the inventory, let me get on that one, well that is extremely good, it's our what we call non-moving inventory that we calculate at all-time low. So the inventory that we have is the right inventory in the quality inventory and most inventory we have two or more and more versus even many, many years ago that we've been around. We've been around. I've been around is for customer contracts, right, we have customer contracts we have firm supply chain engagements. So there's either backlog or contracts backed up with NCMR on top of that we pass through from the suppliers that gives us the confidence that we're in a good position and going to be just fine.
Operator: Thank you. Our next question is from Ruplu Bhattacharya with Bank of America. Please proceed with your question.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. I'll echo the sentiment, Tom. We're going to miss you and, Ken, congrats on the new role. For my first question, I'm going to ask the margin question again in a different way. So, on the core side, margins were up 120 bps year-on-year. How much of that was because of ASPs going up? And you said 180 bps on the Farnell side. I guess, Phil, my question to you would be, if you're seeing prices still going up from vendors, how should we think about margins in both of these segments over the next couple of quarters and when do you think margins start to normalize back down to more of the levels that you've talked about on a through cycle basis? What are some of the things that can keep these margins high over the next couple of quarters?
Phil Gallagher: Yeah. So, on the price -- I'll go first and let Ken jump in or Tom. But on the ASP and the cost increases from the suppliers, Ruplu, that doesn't as much impact our margin as it does our growth, right, that we just talked about on the previous question or two, because we have contracts with customers. We get a price increase, we're passing that cost and increase to the customers, but it doesn't necessarily positively impact the margin, okay? So, just FYI. On the balance of most of the margin influx, whether it was sequentially up or moderated down is more of a mix issue, okay, and more of a regional mix issue, with the west being stronger in the June quarter and a little bit less in the September quarter, as Asia, as we forecasted, will outpace the west, and that has a different margin model. And as Tom pointed out before, some of the appreciation we've got on Farnell, we have seen some positive margin impact, based on the way they price things in a market that we've been and it's been 100 bps to 180 bps, we think we're getting margin impact there to the positive. 
Ruplu Bhattacharya: And then maybe [Multiple Speakers].
Tom Liguori: Go ahead. No, I was just going to say -- when we Farnell, 180 basis points in that, they're 14.2%. Would be 12.4% without the pricing. That's an extreme. That's saying, if all of the pricing went away and that was to alleviate concerns that all of your margin -- all of our margins were based on pricing, right? So, we don't anticipate that happening, and I think we had -- at the current volumes, there is no reason that margins would not stay at current or similar levels.
Ruplu Bhattacharya: Okay. Thanks for that, Tom. Maybe for my follow-up, if you can talk about CapEx expectations for the year and also your capital allocation priorities? I know you've been investing Farnell and you've had good e-commerce sales there. I mean, how much more investment is needed in that business to get to your long-term target revenue goals for Farnell? And so, if you can just talk about your investment areas and thoughts on capital allocation? Thank you.
Ken Jacobson: Yeah. This is Ken, Ruplu. I would say, as we kind of communicated at our Investor Day, the CapEx will go up. We've been at pretty low levels the past couple of years, part of that pandemic related. And so, I think the guidance we gave there was around $100 million or kind of double where we've been. But a lot of that's focused on Farnell, right, systems, warehouses, getting the right digital tools in place. From the rest of capital allocation priorities, I think the thing we talked about was a $600 million of buybacks, the Board authorized, and we did a fair amount in the quarter, about $100 million. And if pricing in the market continues to be favorable, we expect to continue to put some capital towards buybacks.
Phil Gallagher: Yeah. And Ruplu, on the balance of the investments we're making outside of CapEx and we're continuing to, which really ties to your margin, right? The higher value businesses, Farnell, we're seeing terrific success and will continue to invest in the e-commerce. We're also continuing to invest in inventory there. I mean, getting back to Jim's question on inventory, we will continue to publicly disclose the amount of SKUs that we're adding. And we -- frankly, we'd like to have even more inventory at Farnell. We're doubling down on our interconnect, passive, electromechanical business, much of this, we talked about at Investor Day, because it's higher-margin business. Our digital offerings for not only demand creation, but supply chain and then demand creation in general, right, the field application engineers all those things will continue to invest in because they drive a higher margin business and in the last of which was again talk about Investor Day, the embedded business, which is a higher margin business. So just to reiterate, we're still in that investment mode to drive growth and profitability to maintain those margins that we talked about.
Ruplu Bhattacharya: Thanks for all the details. Appreciate it.
Operator: Thank you. Our next question is from Matt Sheerin with Stifel. Please proceed with your question.
Matt Sheerin: Yes. Thanks. Good afternoon. Phil, I'm hoping to ask another question regarding inventories in the outlook and really not just your inventories but inventories across the supply chain, there are record levels within the EMS customer base as well as OEMs. Micron earlier this week, talked about seeing an inventory correction, not just in consumer, but also auto, and industrial. And I know the memory market is sort of a different animal cyclically than the business that you're in, but at some point, we are going to see inventories start to come down. And I'm just wondering are you seeing any signs at all of that any rescheduling and when we do see that happen, are you likely to be the first guy to see it or with the direct OEMs will they start to see the cancellations first?
Phil Gallagher: Yeah. Thanks, Matt. It's a great question, because we are tracking the publicly-held companies and looking at the data now and you aggregate them for sure their inventories are up on Q-o-Q and up year-on-year, whether it's EMS, OEM or in our suppliers set, right? So you're absolutely right. We continue to pulse that with our customers in the OEM and EMS set. As you know, we know them well and we do most of them we're doing supply chain engagements with. And much of that inventory is being held up. I think Nicholas mentioned that the -- let's call, the golden screw. So as we post that, that was out this week with a major MS guy and say, hey, the inventory is up, but it's good. I mean, it's industrial, it's fancy. It got contracts for it. So we're doing the best we can to make sure that we're validating the demand. And as far as, who will be first to see it, that's a great question too. We track our cancellations, okay, and our push outs, right? So there's what gets canceled, what gets pushed out. And we're not seeing an increase of any significance, maybe slightly in some cancellations and very little in cancellations, I'm sorry, and slightly in some push outs. We're not maybe that's surprising to many, but we're not seeing that backlog disappear. We got to work with our end customers to help them too. If they can't take the product right now, how do we help them with that? Some of the smaller customers et cetera. So is very complicated as you guys can imagine. That's the questions. But we're just giving you visibility that we see based on the data that we watch daily multiple times per day on a global basis on what's happening. And we're not seeing those early indicators, but we're watching it very closely.
Matt Sheerin: Okay. That's very helpful. And on the gross margin question earlier, you talked about really not seeing any positive impact from ASP increases in the core business. But on the other hand, you could argue that, the competitive environment is less severe now because supply has been constrained and very so strong demand. So we're in an environment when maybe there's weaker demand, which you see at least a return to more competitive pricing, which would put pressure on your margins?
Phil Gallagher: It's possible. Again, we didn't see that much appreciation as we talked about. I mean, again, I believe ASPs are going to more firm up Matt, as my take on it. I know historically, we could look at ASPs as an average in the industry. I think it's going to depend on the technology and the products. If it's commodity standard products, multiple stores, yeah, that might get a little bit more pricing pressure. But it might just be ASP pressure, not margin pressure, right? Because you still might be able to hold the margins, just might be an average selling price pressure. In the higher end, which we're not seeing a lot of movement on from a lead time standpoint, a high end micros and don't get any specific suppliers. I don't know, I mean, there's still price increases, this is what's kind of strange about what's happening, right? You just called out inventory days going up and these different mixed signals in the marketplace. Yet, we have north of 25 suppliers elevating prices in the last 30 to 45 days and some talk about more. So it's really going to be -- I think Matt (ph) is going to come down to buy commodity, okay? And then -- and where sits in the -- from a technology standpoint?
Matt Sheerin: Okay. Great. And just my last question, a modeling question for the incoming and outgoing CFO, if I may. On the mix of margin, you talked about some OpEx increases, some salary increases. So what should we expect for OpEx? And I'm imagining that gross margin should be down a little bit sequentially just on the seasonality issues you talked about with the strength in Asia, does that make sense?
Tom Liguori: Yeah. Matt, that makes sense. I would say, the mix shift is going to cause the gross margin impact. OpEx flattish, maybe up a little bit from this investments, but we've done some offsetting things as well. So we're making investments in our people, but there's still things that we can improve upon on the OpEx side of things.
Matt Sheerin: Okay. All right. Thanks a lot guys. Appreciate it.
Phil Gallagher: Thanks, Matt.
Operator: Thank you. Our next question is from William Stein with Truist Securities. Please proceed with your question.
William Stein: Great. Thanks for taking my question and I want to add my congratulations to everyone. I was hoping to ask about the book-to-bill trends. I think you highlighted still that the bill faded a little bit in the quarter, but still nicely above one. Is that true of both segments? And can you give us any color in terms of both the difference in performance [Technical Difficulty] to and trends in that ratio from last quarter to this quarter?
Phil Gallagher: You broke up a little bit, but I think, I got it. Thanks. Thanks, Will. So for both operating groups, the components and Farnell were both positive book-to-bill through the quarter. And are -- as of today as well by the way. But as I pointed out, but it moderated a bit which again I think is a good thing. So it wasn't off the charts, it just still came in at a good positive book-to-bill. And remember, we look at book-to0bill and then we got the supply chain engagements. So they're kind of outside the bookings. So we got to look at that as well. But and as -- through the quarter, it's -- at a global level, it's similar. The mix by region is a little bit different in the book-to-bill. But at the global level, it's still positive, close to where it closed out frankly at the end of the June quarter for both Farnell and the Electronic Components.
William Stein: And then a follow-up if I can. At the Analyst Day, you discussed some new tools and services that you're providing to customers. I think even in your prepared remarks, you mentioned this control tower concept. Can you maybe talk about that? Maybe just help us understand the effect on your business? Is it a direct revenue effect? And is it here and now? Is it more of a future thing or is it less of a revenue or margin impact and more of a matter of increasing your stickiness with customers?
Phil Gallagher: Yeah. Thanks, Will. We did talk about both of those. So let me start with the -- and they're both under what I would call the digital category. The one was our design tool. The online design tool we call at Avail (ph) and that is live. And effectively it has thousands of block diagrams in it and we're pushing that out directly to customers in API or cloud-based accessibility and really helps our demand creation, okay. It helps us not just with demand creation, but more and more customers that was covered at the Investor Day with our panel as well. More and more customers are looking for solutions. And one of our suppliers are looking for us to sell solutions. So that tool helps us design in, influence design and win more of the design on the whole board. So that's the tool we talked about, it's called Avail and that's, again, has been rolled out internally for our field application engineers. Now we're kind of turning that around to give direct accessibility to our customers and that's in process pretty much as we speak. And on that note, demand creation in general is over 30% almost 31% of our total revenues last quarter, which is a record number for us, again, important because of the -- when designed a big chip, it helps us pull through and helps us with the stickiness down the line. And still critical for our suppliers. I mean, they lean on us for demand creation and we respond. The other one, you're right, we call it, control tower. It's around supply chain orchestration. We've had -- it's already roughly 50% of our business where we're -- more where we're actually managing a customer's at MRP. We're taken in feeds, whether it's an EDI, an API, a fax, whatever you want to, however, they want to give it to us, we're managing their pipelines for us. And what's happened in the last couple of years is more and more customers are coming to us because they need more assistance. And some of these are maybe Tier 1s large OEMs that weren't doing business with us directly and they're asking us to help them rebuild their supply chains, when it comes to technology and semiconductors. And yes, we've call that the control tower and we've had some big wins and one it helps revenue. Some of this is supply chain as a service as we talked about where it's low working capital or no working capital and really gross profit kind of building. And then third is, yes, it does integrate us with those customers. And really, the partnerships just go to a new level where we're integrated and it does create more stickiness. So hopefully that answers the question.
William Stein: Thank you.
Phil Gallagher: Thanks, Will.
Operator: Thank you. Our next question is from Joe Quatrochi with Wells Fargo. Please proceed with your question.
Joe Quatrochi: Yeah. Thanks for taking the question and echo mine. Congrats to Tom and Ken. I just kind of wanted another question on the book-to-bill and the change that you're seeing there. Can you maybe just help us understand, is this a change in maybe the breadth of orders in terms of the number of customers or maybe the quantity that your customers are ordering in terms of like the amount at one-time or just that the month of visibility they're giving you in their order book? Any help there would be great.
Phil Gallagher: Yeah. Thanks, Joe. It's not customer count, because that I can tell you. There are going to be some customers, you guys under slowing down and others that are picking up. What it has to do with the lead times. So, as if lead times in some areas, do come in a lot of the MRPs that drive the bookings or supply chain engagements, [indiscernible] MRPs based on quoted lead time, published lead time or actual lead time. So more of it's that than it is anything else. [Multiple Speakers] some customers are lower than others. I mean, are you going to always have some verticals that are up or some that are down?
Joe Quatrochi: That's helpful. Thank you.
Operator: Thank you. Our next question is from Joe Cardoso with JPMorgan. Please proceed with your question.
Joe Cardoso: Hi. Thanks for the question. Just two quick ones from me. First, you modestly narrowed the revenue guidance range for the quarter. So just curious to see what's driving the better visibility heading into the September quarter, if anything? And then second, you mentioned the supply shortages with Farnell. Has that improved at all in the first quarter today? And are you baking in a continued headwind from the shortages in the first quarter guide? Thank you.
Phil Gallagher: Let me work on the side. Joe, can you repeat the first part of that question you broke up with a -- I got the Farnell one, but I didn't catch the first one.
Joe Cardoso: Yes, sure. So just the first one is simple, it's just in the revenue guidance, you narrowed the range that you typically gave at least for the prior two to three quarters. Just curious what's driving the more narrowed range there? Is it better visibility? Just curious to hear if there's anything behind that? And the second one is as just I pointed out.
Ken Jacobson: Yeah. For the guidance question, Joe, I'd say, -- this is Ken. I would say there's not really anything that's changed. I think maybe the prior quarter we expand a little bit with some -- maybe more uncertainties. But this would be the typical kind of plus or minus $150 million on the midpoint. So I think you'd see that going forward.
Phil Gallagher: Yeah. And thanks, Ken. And on the Farnell, yeah, what we said with Farnell, they've got quite a bit of backlog. We've been increasing or working to increase the SKUs to 200 plus thousand (ph) and we're just about 70%, 80% there. So it's not -- well, yeah, we can get more inventory. It always helps their growth, but it's really built into a negative guide or anything on that -- anything around Farnell would be more just seasonality. They're also heavy in Europe, right? That's where -- and Europe tends to be a little bit slower in the summer. And we'll probably see a more normal seasonality in Europe than we had in the last two years because last two years were somewhat anomalies in the Europe market. So I think we're going to go back to more of a bit of a slower seasonality quarter in Europe. But no, it's not -- it's not having a heavy impact.
Joe Cardoso: Got it. I appreciate the color guys.
Operator: Thank you. Our next question is from William Stein with Truist Securities. Please proceed with your question.
William Stein: Great. Thanks for taking my follow-up. I apologize if I missed this. But I'm just -- as I look at the segments, I'm realizing that Farnell is about flat year-over-year and the traditional components distribution business is still growing at a healthy clip. Can you comment on the difference between these two. I've noted that in times of sort of desperate demand relative to limited supply that you might see this bump in Farnell that could then fade. Is that the dynamic we're seeing now or customers getting filled slightly better through more traditional methods and therefore backing off with Farnell or is there another dynamic there?
Phil Gallagher: Will, yes, no problem. Did you talk about the guide to September, I think the Q4 versus Q4? Q4 versus Q4?
William Stein: Yes.
Ken Jacobson: Well, I guess -- this is Ken, I would say, some of that is FX driven. They've got a lot of your business is still mentioned. So -- but they have had some, I'll call it, shortages of some parts that they could, including single board of computing and things of that nature. So I feel like in the market demand still pretty strong and the pricing is still relatively good. So I don't see anything indicating there that would signal anything more different than what we're seeing in the components the broader electronic components business.
Phil Gallagher: Yeah, I think you're saying the read there is the long and short of it, Will. But all the catalog guys do pick up maybe a bit -- well, and we've talked about that. When the shortage is out there, they definitely see a little bit more action than they typically would, but we've not seen anything dramatically change there.
William Stein: Thanks.
Phil Gallagher: Got it, Will.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Phil Gallagher for any closing comments.
Phil Gallagher: All right. Thank you very much and thanks for the questions and thanks for participating in today's earnings call. And I look forward to speaking to you again in our first -- following our first fiscal quarter earnings report in October and at that point, we wish Ken all the best of luck and Tom thanks for everything and everybody has a good rest of the day.
Tom Liguori: Thanks everyone.
Operator: This concludes…